Operator: Good morning, ladies and gentlemen, and welcome to Monro Inc.'s Earnings Conference Call for the Second Quarter of Fiscal 2023. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference call is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Felix Veksler, Senior Director of Investor Relations at Monro. Please go ahead.
Felix Veksler: Thank you. Hello, everyone, and thank you for joining us on this morning's call. Before we get started, please note that as part of this call, we will be referencing a presentation that is available on the Investors section of our website at corporate.monro.com/investors. If I could draw your attention to the Safe Harbor statement on slide 2, I'd like to remind participants that our presentation includes some forward-looking statements about Monro's future performance. Actual results may differ materially from those suggested by our comments today. The most significant factors that could affect future results are outlined in Monro's filings with the SEC and in our earnings release. The company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Additionally, on today's call, management's statements include a discussion of certain non-GAAP financial measures which are intended to supplement, and not be substitutes for, comparable GAAP measures. Reconciliations of such supplemental information to the comparable GAAP measures will be included as part of today's presentation and in our earnings release. With that, I'd like to turn the call over to Monro's President and Chief Executive Officer, Michael Broderick.
Michael Broderick: Thank you, Felix. And good morning, everyone. I'll spend the first part of our call this morning reiterating our strategy which we are firmly committed to. After that, I'll provide an overview of the continued progress we've made as evidenced by our second quarter results, along with some perspective on inflationary pressures that are impacting the consumer and our business. I'll then provide an update on our cash creation and capital allocation.  Before I start, I'd like to thank all of our teammates in our stores and our store support center for their continued dedication to serving the needs of our customers in our business.  As a reminder, regarding our strategy, we are a leader in the highly resilient and largely non-discretionary auto services aftermarket. We have significant scale that gives us important competitive advantages over smaller players in our industry. We leverage our scale and the strength of our financial position to make critical investments in our business. Our people and technologies deliver an outstanding guest experience.  For more than a year, we have been actively addressing the staffing needs of our stores. We have built the labor capacity in our stores to meet customer demand. We are now focused on continuously improving our in-store execution, properly training new and existing teammates, and reallocating resources between front of shop and back of shop investments to maximize store productivity.  We still have important work to do to achieve the kind of operational excellence that will allow us to consistently deliver on our mid-single digit comp store sales expectations. We are committed to a balanced approach between service and tire categories to drive additional profitability at our locations.  We are also continuing to execute on our strategy to improve our underperforming stores, which represent about a quarter of our overall store base. Consistent with last quarter, our second quarter comp store sales increase of approximately 10% for this group of stores shows that this strategy is working.  Another important focus of our strategy is cash creation. We are unlocking cash from the business by optimizing inventory and leveraging the strength of our vendor partners for better availability, quality, and cost of parts and tires in our stores. We've made progress against our overall strategy, but we certainly have significant opportunities ahead.  Now turning to our second quarter results and how inflationary pressures are impacting the consumer and our business. Our top line does not fully reflect all of our good work and the progress we've made. In the second quarter, our comp store sales grew approximately 1%, with momentum building as the quarter progressed.  Comp store sales in our 300 smaller underperforming stores increased approximately 10% in the quarter. As a reminder, comp store sale at these stores decreased by 8% in fiscal 2022 compared to fiscal 2020. The continued acceleration in sales at these 300 stores was a result of improved technician staffing levels and training to meet customer demand. Comp store sales in our remaining stores were approximately flat.  Last quarter, we spoke about how broad based inflationary pressures impacted demand for tires as consumers began to defer some of their tire purchases. Our partnership with ATD allowed us to reposition our tire assortment to give our customers the right tire at the right price. We are staying relevant on opening price points to provide customers with more choice and greater value as they appear to be trading down to lower priced options. Based on third-party syndicated US replacement tire data, this contributed to our outperformance entire units versus the industry in the second quarter.  In the second quarter, we also saw a stretched consumers make decisions to defer vehicle maintenance in some of our key service categories. As a result, we made an intentional decision to hold tight on prices in these categories.  Our gross margin was impacted by inflationary cost pressures that we chose not to offset through additional increases in price to an already stretched consumer. Raising prices at a time when a consumer struggling to accept them would likely result in the immediate loss of the sale and has the potential to jeopardize a longer term relationship with a customer, and developing this longer term relationship with our customer is a key element to our strategy.  Although our investments in price and labor impacted our gross margin in the second quarter, our business is well positioned with the right strategy in place to take advantage of longer term industry tailwinds. We are not going to cut our critical investments we've made in our labor force and sacrifice our long term service model for short term profitability.  The data shows that we are gaining market share in our tire category in a challenging macro environment, focused on driving traffic to our stores and serving the car care needs of our customers.  Although nobody has a crystal ball regarding the length or depth of the macro challenges, we can look to the economic downturn of 2008 for insight as to how our business may perform.  Similar to the 2008 downturn, average vehicle age is increasing. This is currently due to a low new car availability and high vehicle prices. Vehicle miles driven have recovered to pre pandemic levels and are now stable, which is similar to what was experienced in 2008.  A point of contrast is that, subsequent to 2008, there was a significant spike in unemployment, whereas a significant spike in inflation has occurred in the current downturn, with current unemployment remaining at historically low levels. Both unemployment and inflation put pressure on the consumer and lead to a deferral cycle as the consumer puts off needed work.  The largely non-discretionary nature of our business gives us confidence that as long as our stores are properly staffed, our pricing is competitive with the right assortment, and we continue to improve our in-store execution, we'll be able to capture market share gains. This is clearly evidenced by our strong comp store sales performance during the fiscal 2009 to fiscal 2011, with average growth of approximately 6% over this three-year period.  We are seeing positive signs that the consumer deferral cycle might be coming to an end. This is supported by strong performance in our tire category as well as improving trends in our service categories.  In the second quarter, we saw a strengthening sequential demand that continued into fiscal October, with our preliminary comp store sales up almost 4%. That being said, we're closely monitoring all aspects of our business, as the uncertainties of the macro environment could impact consumer demand in ways we may not anticipate. Lastly, an update on our cash creation and capital allocation. Our strong financial position and cash flow is a competitive advantage, which enables us to make investments in labor and price to grow market share and capture new customers for the long term. We continue to generate strong operating cash flow in the second quarter led by reductions in our working capital.  The proceeds from our completed wholesale and tire distribution asset divestiture, excess cash being generated by our operations and strength of our balance sheet also allowed us to continue returning capital to our shareholders at the same time as we pursue our growth strategy.  During the second quarter, we continued our long standing policy of sharing our results with our shareholders through our dividend and we continue deploying cash on our share repurchase program, which authorizes us to repurchase up to $150 million of the company's common stock.  As part of our growth strategy, we continue to carefully review value enhancing acquisitions, while maintaining our disciplined approach in evaluating multiples. We have significant capacity to acquire businesses, which fit into our overall strategic plan.  In summary, as we continue to navigate an uncertain macroenvironment, we have the right strategy in place to take advantage of longer term industry tailwinds. We will continue leveraging our scale as a key competitive advantage. We are focused on gaining market share and driving traffic to our stores and our in-store execution is firmly in our control and remains our greatest opportunity for improving our results.  Our staffing initiatives and focus on our small or underperforming stores continue to deliver comp store sales growth in the second quarter. As our training and productivity initiatives continue to take hold, we expect to deliver improvements in sales and earnings.  Significant cash flow generation through operational improvements and working capital reductions will allow us to continue returning capital to shareholders through healthy dividend and share repurchase programs as well as capitalize on acquisitions.  With that, I'll now turn the call over to Brian who will provide an overview of Monro's second quarter performance, strong financial position, and additional color regarding fiscal 2023. Brian?
Brian D'Ambrosia : Thank you, Mike. And good morning, everyone. Turning to slide 7, sales decreased 5.1% year-over-year to $329.8 million in the second quarter, which was due to the divestiture of our wholesale tire and distribution assets in the first quarter of fiscal 2023. Sales for these divested assets were approximately $29 million in the prior-year second quarter. Comparable store sales increased 1.3%, while sales from new stores increased $8 million.  Gross margin decreased 220 basis points from the prior year to 35.4%. A higher mix of tire sales and our retail locations, customer trade down to opening price point tires, as well as parts inflation that we intentionally did not fully pass through to the consumer increased material costs as a percentage of sales from the prior year.  In addition, incremental investments in technician labor and wages to support current and future top line growth increased labor costs 100 basis points from the prior year. These increases more than offset the benefits to gross margin from the divestiture of our wholesale tire and distribution assets.  Total operating expenses were $93.3 million or 28.3% of sales as compared to $96.2 million or 27.7% of sales in the prior-year period. The increase as a percentage of sales was principally due to the divestiture of our wholesale tire and distribution assets. This was partially offset by prudent cost control in the quarter.  Operating income for the second quarter declined to $23.5 million or 7.1% of sales. This compared to $34.5 million or 9.9% of sales in the prior-year period. Net interest expense decreased to $5.7 million as compared to $6.3 million in the same period last year. This was principally due to a decrease in weighted average debt.  Income tax expense was $4.7 million or an effective tax rate of 26.6% compared to $7.3 million or an effective tax rate of 25.7% in the prior-year period.  Net income was $13.1 million as compared to $21 million in the same period last year.  Diluted earnings per share was $0.40 compared to $0.62 for the same period last year.  Adjusted diluted earnings per share, a non-GAAP measure, was $0.43 cents in the quarter, with the majority of the $0.03 per share of excluded costs coming from restructuring and elimination of certain executive management positions upon the completion of our wholesale asset divestiture. Please refer to our reconciliation of adjusted diluted EPS in this morning's earnings press release and on slide 7 in our earnings presentation for further details regarding this and any other excluded costs in the second quarter.  As highlighted on slide 8, we continue to maintain a very solid financial position. We generated $120 million of cash from operations during the first half of fiscal 2023, including $55 million in working capital reductions. This has reduced our cash conversion cycle by approximately 15 days at the end of the second quarter compared to the prior-year period.  We received $62 million in divestiture proceeds, of which $5 million are currently being held in escrow. We invested $20 million in capital expenditures, spent $20 million in principal payments for financing leases, and distributed $19 million in dividends.  Lastly, cumulative repurchases of our common stock were approximately $71 million under our board authorized share repurchase program. We have used our significant cash flow to reduce invested capital by $147 million during the first half of fiscal 2023.  At the end of the second quarter, we had bank debt of $130 million, cash and cash equivalents of $10 million, and a net bank debt to EBITDA ratio of 0.7 times.  While we are not providing guidance for fiscal 2023, we are providing color to assist in your modeling. Note that our comments for the remainder of fiscal 2023 continue to factor in the divestiture which generated about $115 million in sales in fiscal 2022. We expect the ongoing impacts from the divestiture to be accretive to overall gross and operating margins and neutral to earnings per share.  As we focus on gaining market share and driving traffic, we expect to continue maintaining appropriate staffing levels, as well as competitive pricing to attract customers to our stores. This will likely continue to put pressure on gross margin in the back half of fiscal 2023. In order to mitigate this, we will be focused on driving sales in our higher margin service categories, managing mix within our product categories to improve profitability, and taking opportunistic pricing actions.  Total operating expenses are expected to be slightly higher as a percentage of sales on a year-over-year basis as a result of the divestiture of the wholesale tire locations. Our tax rate should be approximately 25% for the remainder of fiscal 2023.  Regarding our capital expenditures, we expect to spend approximately $40 million to $50 million in fiscal 2023.  We also expect an improvement in our operating cash flow, driven by continued working capital reductions. Our balanced approach of returning capital to our shareholders, as well as completing value-enhancing acquisitions will meaningfully increase our return on invested capital.  And with that, I will now turn the call back over to Mike for some closing remarks.
Michael Broderick : Thanks, Brian. We're optimistic about our outlook for the remainder of fiscal 2023 and beyond. Although we still have important work to do, we remain well positioned to execute our growth strategy and deliver long-term value creation for our shareholders.  I'd now like to provide an update on recent board actions. First, our board has retained the services of an independent third-party search firm to assist the nominating and corporate responsibility committee in identifying a diverse pool of potential qualified board candidates with appropriate skill sets and experience.  In addition, the independent and disinterested members of the board have initiated a process to engage a financial advisor to evaluate options for recapitalization that would provide for all of Monroe's outstanding stock to have one vote per share and for the elimination of veto power of one class of stock over another. We'll provide further updates on this work as appropriate.  With that, I will now turn it over to the operator for questions on our quarter.
Operator: [Operator Instructions]. The first question comes from the line of Daniel Imbro of Stephens Inc.
Daniel Imbro: I wanted to start on maybe [indiscernible] just the pricing. You talked about maybe choosing not to pass some of that through. Mike, if I heard you right, I think you said you're doing that to kind of limit deferral and try to retain some of those services. But when we look at the category, it looks like there was kind of a pickup in deferral across brakes and alignments. Can you maybe help to square away those comments and discuss a little more why you chose not to pass through the pricing and whether that's a temporary shift or kind of an ongoing change to your pricing on some of these categories for the next couple of years?
Michael Broderick: A really important question. I would say what we saw in the second quarter is very different from what I was talking about in the first quarter. When I looked at our data, looked at the industry and looked at how tires were performing, we were talking about that as a significant headwind and the consumers were definitely telling us and talking to us about the fact that things were tightening up with our consumer in the marketplace.  As an organization, we did a ton of work around really divesting our nine distribution centers and then selling our tire distribution center to ATD and really bringing that to life. One of the things we've recognized is the fact that we were going to broaden our assortment across all of our stores. And, yes, we were going to be very price competitive. Just to remind everybody that the investment in our labor and our technicians is still paramount. And I want to keep these techs working. And I really want to continue to drive to mid-single digits. But I want to do that in a very balanced approach.  Tires – and I would say tires absolutely outpaced our service categories, but also talking about our service categories, that's our next focus, is really getting a balanced approach for us to deliver that mid-single digit growth and beyond. And, yes, we did a lot of work on tires. And we are getting rewarded with that, with sequential improvement. And now we're actually seeing units positive in October. And I like that position where we're starting to go positive in units. And I'm talking about positive customer count rather than just pricing as our way to driving sales improvement.
Daniel Imbro: I saw a question on that and you talk about not using price. I guess, are your competitors doing the same thing? Are you seeing others continuing to pass through price? And if you are gaining shares and you're not passing through price, is there a risk that others just start getting sharper on price on the tire categories or some of your service categories? And then it becomes more price competitive than the industry has been historically?
Michael Broderick: Yeah, no, that's a really good point. I think the big change for us, especially using ATD, is we changed our mix. And we talked about good, better, best. The majority of our stores had only really better, best. So we introduced opening price point using our broader distribution relationship. And we got rewarded for that. So, we are priced for a similar SKU, just like our competitors. We are very consistent. We're not taking prices below market. We're really holding our price and staying competitive. But we're really now more attractive to a whole new customer, especially on the tire side, which is that opening price point tire customer.
Operator: The next question comes from the line of Brian Nagel with Oppenheimer.
Brian Nagel: The first question I have, just with regard to kind of the longer term, that target of mid-single digit comp growth. In the current quarter, we ran low-single digits. Mike, maybe just help bridge that? What has to happen? How much of that is internal in the efforts there versus some type of stabilization or improvement, if you will, in the macro environment?
Michael Broderick: I would say, the macro environment is what it is. I think October is a great indicator of what we're doing right now. It's approximately 4%. And just to remind everybody, we didn't get any help from Hurricane Ian at all. So I would say that the team performed well, really driving what I believe is going to be an expectation going forward with that mid-single digit number.  I think, Brian, it's really clear to me. You've got to grow tires and oil, and that's your customer. And those are the customers that come into your stores over and over again. And at Monro, we weren't always looking at having increased customers. We were driving a lot of our sales improvements through price. And I would say that's still a part a the equation, but it's now very balanced. So how the organization situated right now is we're very focused on improved units, actual units, as well as increased sales through units and price on the tire side and having the appropriate service categories coming to life. And the big category, obviously, would be brakes.  Although we see everything we're seeing, the industry is still behind last year. We do believe that's a deferral cycle and we're going to be able to take advantage of it when the customer comes back.
Brian Nagel: My follow-up question. You mentioned in your comments just, I think, you're seeing potentially the end of the deferral cycle. I know you just mentioned a second ago, too. So I guess, why would that be happening here? If we look just broadly speaking from an inflation perspective and other – there's still a lot of pressures on consumer. Why do you think you're starting to see potentially the end of that?
Michael Broderick: In this business, and I've been in this business for 30 years, brakes don't get better over time, tires don't get better over time. So I really look at vehicle miles traveled. That's stabilizing even versus pre COVID. So I see a lot of the behaviors really were with the customer, saying, okay, they're deferring at first. I saw four tires to two tires, two tires to one tire. And now I'm seeing the customer actually looking at service categories, especially on undercard, these are expensive services and they're waiting. And I think as an organization, our opportunity is to go back, reach to those customers, invite them back in, so that we can take care of their services. Those cars don't get better over time. So I feel like, in the past, I've always referred to as a two month to three month deferral cycle. And it seems like at least on the tire side, that's come back faster. I credit the team's execution, as well as our new distribution relationship. And then, on the service side, it's very consistent with that also, specifically calling out brakes and chassis.
Brian D'Ambrosia: I would add to that, Brian. When the consumer is coming back and we've seen it in our tire category, they are looking for value. And so, it's really important, as Mike said, that we repositioned our assortment and we're seeing that in opening price point. We're seeing that across all tiers where we're seeing customer shopping at price points that maybe they wouldn't have previously and repositioning that tire assortment has been important to make sure that we get the share of that customer as they come back and look to service their vehicle.
Brian Nagel: If I could slip one more in. I hear exactly the point you're making. You're really now much more focused on pricing. So, generally speaking – and obviously, we're playing against a dynamic pricing environment given inflation and such. But is pricing now where it should be, are there still going to be tweaks going forward?
Michael Broderick: I feel good about pricing. But there's four things. When you look at our gross margins, it's price – it's our tire specifically with price. Most importantly, it's mix. So I want a balanced approach to the business. Brakes have a significant different margin portfolio than our tire category. And then last, but not least, is leveraging our investments in our technician pay. So when I look at our margin, price is one of four components of how I do this equation going forward.
Operator: The next question comes from the line of Bret Jordan with Jefferies.
Bret Jordan: Could you talk about the tire units versus price in the comp? I think you said they turned positive in October on units. But could you talk about the full quarter?
Brian D'Ambrosia: Bret, for the quarter, units were down, and it was led by price. But as Mike said, the units – we saw unit momentum as the quarter progressed leading to positive units in October.
Michael Broderick: I guess on the part side of the business because you've gotten out of distribution, were you 100% externally purchased parts in the quarter or are you still working through inventory you had when you were self-distributing?
Michael Broderick: We're still working through, but for the most part, since we don't have any distribution centers, whatever exists in the store, we're working through that right now. So a lot of activity, not only on the parts side, but the tire side really getting ourselves positioned to be really nimble. I would call us right now very nimble using our third-party providers as our new distribution arm. 
Bret Jordan: Brian, could you give us the monthly comp cadence?
Brian D'Ambrosia: We're down 0.7% in July, up 1.9% in August, up 2.5% in September and then, as we said, up 3.7% in October, which obviously is our third quarter.
Operator: The next question comes from the line of John Healy with Northcoast research.
John Healy: I wanted to dive a little bit more into the tiering on the tire side. Talking about adding a good line to the kind of portfolio makes a ton of sense right now. Is there a way to think about just how those tiers are priced? Like, what's the spread between good and best as well as what size of the of the portfolio you'd like that good or opening price point tighter to represent [indiscernible]?
Michael Broderick: Really important question. So, when I look at opening price point and specifically good, better, best, I'm looking at about – 33% is going to be opening price point, 33% or more, maybe as much as 40% is going to be mid-grade, and then the rest, about 25%, is going to be premium. And then you have specialty.  So when I look at what we've done and using our third party partner – remember, we have stores that already had good, better, best, and they were performing well. It's the stores that didn't have opening price point that we then met and we put this new product in there. Didn't do any marketing. We basically just put it in the stores for our teammates to sell to our customers. And I believe that when we see our units starting to improve, that's the math equation that we really want to bring that to life.  But I would use just easy math, one-third, one-third, one-third. And I would say, going forward, we're going to be looking not only at our tires, but also all of our categories where there's choice required. We're always going to give our customers choice because I do believe that's what they're expecting right now, especially now with regards to what I believe is a very difficult time for our consumer to make sure that we give our customers choice.  From a pricing perspective, I'm looking anywhere between $20 to $30 as the gap per tire on price. So, good to better would be about a $20 difference. Now, truck tires and small diameter passenger light tires, obviously, have a small differential or larger differential, depending on the size of the vehicle.
John Healy: Just comps and sales trends aside, I was really impressed with what you guys continue to be able to do on the working capital side of things. And kind of given this kind of adjustment you're making in terms of mix and adjustment that you're making in terms of kind of sourcing a bit, how much of this movement of working capital could still be ahead of you? Is there more to grab there? And how structural are the gains there, do you think?
Brian D'Ambrosia: I appreciate the call out on the working capital improvements. There's still more to come on the working capital side. We haven't really framed or quantified that element of guidance, obviously. But we do believe – and we talked about it in Q1 that the working capital reductions will be supportive of a likely record year in our operating cash flow this year. And that will continue to support our capital allocation strategy, which we made great progress in in the quarter related to our share repurchase, our continued dividend program, and then, obviously, we remain opportunistic as we evaluate acquisition. So, it's a big part of our cash deployment strategy, our growth strategy, our shareholder return strategy. And there's still a lot of opportunity ahead for us to take some cash out of working capital. 
Operator: That concludes the question-and-answer session. I will now pass the line back to the Monro team for closing or additional remarks. 
Michael Broderick: Thank you for joining us today. This continues to be an exciting time to be part of Monro. We have a strong foundation to build upon to create long-term value for all our stakeholders. I look forward to keeping you updated on our progress. Have a great day. 
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect.